Operator: Good morning. My name is Jerome, and I will be your conference facilitator. At this time, I would like to welcome everyone to the BorgWarner 2021 Fourth Quarter and Full Year Results Conference Call. [Operator Instructions] I would now like to turn the call over to Patrick Nolan, Vice President of Investor Relations. Mr. Nolan, you may begin your conference.
Patrick Nolan: Thank you, Jerome. Good morning, everyone, and thank you for joining us today. We issued our earnings release earlier this morning. It's posted on our website, borgwarner.com, on both our home page and our Investor Relations home page. With regard to our Investor Relations calendar, we will be attending multiple conferences between now and our next earnings release. Please see the Events section of our Investor Relations home page for a full list. Before we begin, I need to inform you that during this call, we may make forward-looking statements, which involve risks and uncertainties as detailed in our 10-K. Our actual results may differ significantly from the matters discussed today. During today's presentation, we will highlight certain non-GAAP measures in order to provide a clearer picture of how the core business performs and for comparison purposes with prior periods. When you hear us say on a comparable basis, that means excluding the impact of FX, net M&A and other noncomparable items. When you hear us say adjusted, that means excluding noncomparable items. When you hear us say organic, that means excluding the impact of FX and net M&A. We will also refer to our market growth. When we say market, this means the change in light and commercial vehicle production weighted for our geographic exposure. Please note that we posted an earnings call presentation to the IR page of our website. We encourage you to follow along with these slides during our discussion. With that, I'm happy to turn the call over to Fred.
Frederic Lissalde: Thank you, Pat, and good day, everyone. We're very pleased to share our results for 2021 and provide an overall company update, starting on Slide 5. I am very proud of our strong top line performance relative to the industry declines. With approximately $14.8 billion in sales, we were up about 12% organically and we outperformed in all major regions. I'm also pleased with our margin performance despite the significant production volatility we faced during 2021. This was achieved while continuing to significantly increase our R&D investment to support our e-product growth. These investments will continue and accelerate. We also delivered solid cash flow performance despite the impact of a onetime warranty payment for combustion-based products during the fourth quarter. We also have seen progress on all 3 pillars underlying our Charging Forward plan. We secured multiple new EV program awards during the fourth quarter, which I will discuss in a moment, and we are already beating our booking target. We completed the acquisition of AKASOL earlier this month. And today, we announced the acquisition of Santroll's light vehicle eMotor business. We also completed the first step in the combustion disposition goals with the sale of the Water Valley, Mississippi facility to Atar Capital. Now let's discuss some of our recent new business awards starting on Slide 6. I'm happy to highlight 2 new product awards for the commercial vehicle market. First, I'm excited to announce our first win for our hydrogen injection system. This is a product that we've been discussing with our customers for quite some time. Hydrogen internal combustion is a quick-to-market powertrain solution that requires only slight adjustments to the traditional ICEs. This is our first award, and the program is with a top global manufacturer of construction equipment that is expected to launch in 2024. BorgWarner will be providing the full system, including injectors, rails, ECUs, system integration and calibration. Next we announced that BorgWarner has secured its first high-voltage eFan system with a global commercial vehicle OEM. Fully electric-powered heavy-duty trucks will require dedicated high-voltage thermal management solutions like the eFan systems for cooling components such as the e-motor, batteries and electronics. BorgWarner has specifically optimized its fan design for performance and efficiency. The high-voltage eFan is driven by a robust e-motor, which is powered from the vehicle's electrical system via an inverter. This is another application of the 3-in-1 concept with mechanical, motor and inverter. The system will be utilized in a battery electric heavy-duty long-haul trucks expected to launch in 2024. Both the hydrogen injection system and the eFan are great examples of us continuing to organically develop new products to drive profitable growth in innovative powertrain systems. On Slide 7, I'm happy to highlight 2 more wins in North America: First, BorgWarner has been awarded the Generator Inverter for an innovative electrified architecture. The North American program is anticipated to launch in 2024. Our product will be used in a range of extension system to charge the main battery. This win highlights our technical capabilities in managing continuous high currents. Next I would like to highlight a new battery system award for the North American electric commercial vehicle market that we expect to launch in 2023. BorgWarner will supply GILLIG, a leading manufacturer of heavy-duty transit buses in North America, with a third generation of our ultra-high energy battery system. The battery system was developed for long-distance application and can be scaled for the customer needs. It can offer close to 700-kilowatt hour of available energy. This is the largest capacity in the North American transit bus. The system will be produced in our Hazel Park manufacturing facility here in Michigan. On Slide 8, we highlight 2 additional 800 volts awards in China. First, I'm glad to announce that we have secured an 800-volt silicon carbide inverter with a leading Chinese OEM for electric vehicle anticipated to launch in 2023. The award includes inverters for front and rear drive modules. Our 800-volt silicon carbide technology offered enhanced power density, proven performance and long-term reliability. And our leadership in this area continues to be recognized by our customers globally. We're also partnering with a leading luxury new energy vehicle maker in China to supply an 800-volt iDM, expected to launch in 2023. Designed, developed and manufactured by BorgWarner, the 800-volt iDM includes our electric motor, inverter and gearbox. It features our exclusive and compact Viper power module, which is the core of the silicon carbide inverter. This is BorgWarner's first 800-volt iDM project worldwide, opening a new chapter in the company's global electric drive business. We're pleased to continue our long-standing partnership with this leading domestic manufacturer of luxury electric vehicle. As you can clearly recognize, we're seeing a strong pool for our new e-products. We are increasing our e-R&D investment by $130 million to $160 million this year to support this growth. Now on Slide 9, I would like to expand on our announced acquisition of Santroll's Light Vehicle eMotor business. eMotor is a key element of BorgWarner's electric vehicle growth strategy. The acquisition of Santroll's business is expected to have multiple benefits for us. First, we expect this acquisition to improve both our eMotor product leadership and our manufacturing capabilities, adding state-of-the-art equipment design and proven automation expertise. This acquisition will also expand our eMotor portfolio breadth and scale. Post this transaction, BorgWarner expects to produce more than 3.5 million units in 2026 for a wide range of customers and regions. With Santroll, BorgWarner now has a full suite of e-motor product at scale with application in small and larger passenger vehicles as well as for commercial vehicles. And we obviously see potential for significant revenue synergies overtime globally. The acquisition will be funded with existing cash balances and is expected to close late in the first quarter 2022. As you can see, on Slide 10, we've made significant progress towards our Charging Forward plan, starting first with the organic electric vehicle revenue growth. With the award secured as of this call, we now have electric vehicle programs that we expect will generate about $2.7 billion of booked revenue in 2025. This is an amazing achievement by the BorgWarner team. Turning to M&A, which includes the complete acquisition of AKASOL and the planned acquisition of Santroll's eMotor business. We've secured additional businesses that we expect to generate more than $600 million to $700 million of additional EV-related revenue for 2025, and we expect to take additional M&A steps and are actively engaged with a number of potential targets, which will impact multiple parts of our EV portfolio.  Related to disposition, we completed the sale of our Water Valley, Mississippi facility to Atar Capital during the fourth quarter. With just under $200 million of revenue in 2021, this transaction represents 20% of the dispositions that we plan to complete by late 2022. With less than a year since the announcement of Charging Forward, I am pleased that we've made significant progress across all pillars of this plan. The takeaway from today is this: BorgWarner successfully managed a volatile production environment during 2021. Our revenue growth outperformed the industry, and we delivered strong margins and free cash flow. We're seeing strong demand for our product as evidenced by the numerous awards that we have secured throughout the course of the year. We're making the necessary organic and inorganic investment to support this significant growth in E. In short, we are successfully executing on our long-term strategy, Charging Forward, which will deliver value to our shareholders long into the future. With that, I turn the call over to Kevin.
Kevin Nowlan: Thank you, Fred, and good morning, everyone. Before I dive into the financials, I'd like to provide a quick overview of our fourth quarter results. First, our revenue came in higher than we were expecting going into the quarter due to better-than-expected industry volume. Second, our margin performance in the quarter was strong, driven by better-than-expected revenue and cost synergy performance. Additionally, our net R&D investment was lower than our guidance due entirely to higher customer reimbursements of engineering expense than we had anticipated. And finally, our cash flow performance in the quarter was strong despite the impact of a onetime cash warranty settlement payment. Let's turn to Slide 11 for a look at our year-over-year revenue walk for Q4. We start that walk with last year's revenue, which was just over $3.9 billion. Currencies had a very small impact when comparing Q4 of last year to Q4 of this year. Then you can see the decrease in our organic revenue, about 7% year-over-year. That compares to a 15% decrease in weighted average market production. So we delivered another quarter of strong outperformance in the face of challenging end market environment. And we're pleased with the fact that this outperformance occurred in all 3 major markets. On top of that, what's particularly exciting to see in our outgrowth is that we're seeing a portion of it coming from our electronics and electrification products, especially in China and North America. And finally, you add to that the $34 million of Q4 battery pack revenue coming from AKASOL. The sum of all this was just under $3.7 billion of revenue in Q4. Now let's look at our earnings and cash flow performance on Slide 12. Our fourth quarter adjusted operating income was $375 million or 10.3%, which compares to adjusted operating income of $448 million or 11.4% from a year ago. On a comparable basis, excluding the impact of foreign exchange and the impact of AKASOL, adjusted operating income decreased $60 million on $256 million of lower sales. That translates to a decremental margin of approximately 23%.  That's not a bad decremental for such a volatile environment, especially considering the roughly $16 million of net commodity cost headwinds that we experienced in the quarter. Excluding these higher commodity costs, our year-over-year decremental margin was approximately 17%, which we view as a sign that we're effectively managing our operating cost performance.  Moving on to free cash flow, we generated $370 million during the fourth. Our free cash flow included a $130 million payment to a customer, which was related to a warranty claim that we settled in the quarter for an engine-related component. Based on the agreement with our customer, this onetime payment fully resolved the claim. Let's now turn to Slide 13, where you can see our perspective on global industry production for 2022. When you look at this slide, you can see that our market assumptions incorporate a wide range of potential outcomes. That's primarily a result of the semiconductor supply challenges that we think will continue to impact the industry during 2022. With that background in mind, we expect our global weighted light and commercial vehicle markets to increase in the range of 6% to 9% this year. Looking at this by region, we're planning for our weighted North American markets to be up 13% to 15%. In Europe, we expect a blended market increase of 12% to 15%. And in China, we expect the overall market to be down 2% to 5%, mainly due to a mid-teens decline in commercial vehicle volumes.  Before moving to our financial outlook, I wanted to highlight a change we're implementing in 2022 with respect to how we report our adjusted operating income and margin. You can see this summarized on Slide 14. As you know, M&A is expected to play a significant role in project Charging Forward. And given the nature of the likely acquisitions, we anticipate the potential for significant goodwill and intangibles associated with these transactions. Importantly, intangible asset amortization expense flows through our adjusted operating income line. Now sitting here today, we don't know the magnitude of the intangible amortization expense that may come from future potential acquisitions. But what we do know is that it's likely to make true underlying operating performance as measured in our operating margin, less comparable to previous periods. Therefore, we believe that excluding intangible asset amortization expense from adjusted operating income will improve year-over-year earnings comparability and provide a clearer picture of the real performance of our ongoing operations. But it's important to also note that the impact of intangible amortization expense will continue to be included in our adjusted earnings per share. Now let's talk about our full year financial outlook on Slide 15. As I mentioned earlier, we expect our end markets to be up 6% to 9% for the year. Next, we expect our revenue growth to continue to exceed industry growth, driven by new business launches. Based on these assumptions, we expect our 2022 organic revenue to increase approximately 10% to 14% relative to 2021 pro forma revenue, which means that we expect to outgrow the market by 4% to 5%. Then subtracting an expected $220 million headwind from weaker foreign currencies, we're projecting total 2022 revenue to be in the range of $15.9 million to $16.5 billion.  From a margin perspective, we expect our full year adjusted operating margin to be in the range of 10.2% to 10.7% compared to a pro forma 2021 margin of 10.9% when adjusted for intangible asset amortization expense. This 2022 margin outlook contemplates the business delivering full year incrementals in the low to mid-teens on an all-in basis before the impact of a planned increase in R&D investment. Underlying those incrementals, we expect tailwinds from continued cost synergies and restructuring savings and headwinds from the continuing impact of higher commodity costs and the mounting pressure of other supply chain cost increases. As it relates to R&D investment, we're continuing to win new business. You saw it in the 6 new wins Fred profiled earlier, and you can see it in our 2025 EV business, which now stands at more than $3 billion. With this continued success, we are leaning forward and continuing to invest more in R&D for our e-products portfolio. In fact, our guidance anticipates a $130 million to $160 million increase in R&D investment in 2022, and that increase is 100% related to our e-products portfolio.  This is higher than the $100 million increase we signaled on last quarter's call for 2 reasons. First, as I mentioned earlier, our 2021 net R&D expense came in lower than our expectations due to higher-than-anticipated engineering reimbursements from our customers. Second, and more importantly, the larger increase is a reflection of our bullishness on the prospects for securing additional EV wins in the coming quarters.  Based on this revenue and margin outlook, we're now expecting full year adjusted EPS of $4.15 to $4.60 per diluted share. This EPS guidance contemplates our effective tax rate coming down to 28%, which is declining from the peak of more than 30% that we experienced over the last couple quarters -- excuse me, the last couple years. And finally, we expect that we'll deliver free cash flow in the range of $700 million to $800 million for the full year, despite a significant increase in capital spending year-over-year, that supports the aggressive growth we're seeing, particularly in our EV portfolio. That's our 2022 outlook. So let me summarize my financial remarks. Overall, we had a solid year despite a really challenging end market environment, one where we saw significant volatility during the last 2 quarters. And remember, it was a year with only 76 million light vehicles produced globally. In the face of this environment, we outgrew the market. We drove 10% operating margins by executing on our cost synergies and restructuring savings while also investing more in R&D to support the future of our e-business, and we delivered another year of strong cash flow. And as we continue to successfully manage the present, we were delivering on the future by making significant progress on our charging forward plan. Now as we look ahead to 2022, we're keenly focused on continuing to manage the presence by sustaining our strong margin and cash flow profile, maintaining the momentum and delivering new business wins on electric vehicle programs and continuing to make disciplined investments, both organic and inorganic, that will help secure our growth and financial strength long into the future.  With that, I'd like to turn the call back over to Pat.
Patrick Nolan: Thank you, Kevin. Jerome, we’re ready to open up for questions.
Operator: [Operator Instructions] Your first question comes from the line of John Murphy with Bank of America.
John Murphy: I wanted to focus on Slide 10. And if we look at this, Fred, it seems like your awards are coming faster than we traditionally seen. So it's from booking to actual launch. I'm just curious how much room you have or how much progress you think you're going to make on this first bar? And how much you're bidding on there? And then also, as we think about this, is there more of an opportunity on the commercial vehicle business in EVs because there's maybe some less competition and implementation is coming faster. I'm just trying to understand, are we speeding things up here? And is there maybe even more of an opportunity on the commercial vehicle side near term?
Frederic Lissalde: John, Yes. I think you're right, there are more opportunities on the organic side. We still have 9 to 12 months to go in order to book business that will see daylight in 2025, our organic target was at 2.5. We're at 2.7 and continuing to book business. Yes, you see opportunities in Pass car and commercial vehicles. Some of the products I alluded to our own commercial vehicles. And on the M&A, I would say that we are engaged with a few targets. We have a healthy pipeline of M&A targets. And I'm pretty happy where we are on Charging Forward. I'm laser-focused on charging forward. We're winning. Target is $4.5 billion of BEV revenue in 2025, and we are absolutely on target.
John Murphy: Okay. And just a follow-up. As we look at the middle bar there, AKASOL and Santroll, I thought AKASOL was going to be about $500 million by 2024. So it seems like AKASOL plus Santroll should be closer to sort of an $800 million-ish number. There is something changed in the AKASOL business? And then also just a follow-up on the reimbursements in the R&D for 2021. I mean why were those larger in 2021? Is that something that's changing in sort of relationship with automakers where there's greater R&D reimbursement? Or is that just of timing?
Kevin Nowlan: I'll take that, John, on the AKASOL, I think previously what we had disclosed was $0.5 billion of revenue in 2024. We've rolled this forward to 2025, which suggests we're probably more in that $600 million ZIP code. When you look at Santoll, which is in that number as well. Santroll's actually predominantly at least the revenue that we see through 2025 more eMotor business in high-voltage hybrids. So the bulk of their revenue is not likely going to count toward our explicit battery electric vehicle goal. It actually doesn't add a lot to that particular bar, but it adds a lot to our capabilities, and that's what we're really excited about with Santoll. With respect to the R&D reimbursements, it's really just a function of what we were able to accomplish at the end of the year. Recoveries sometimes come in higher or lumpier in certain quarters, and that's exactly what we saw in Q4. I mean our recoveries were up $20 million or so from what we were previously expecting. I wouldn't view that as a trend. I think that's just sometimes you get some lumpiness when you go quarter to quarter or year to year.
Operator: Your next question comes from the line of Rod Lache with Wolfe Research.
Rod Lache: A couple of things I wanted to ask you about. The company today is something like 70% North America and Europe. And it looks like you have 13% to 15% upside in North America. 12% to 15% in Europe production, but you're only talking about 7% to 9% on a weighted basis. So I was hoping you can maybe address what you're anticipating in terms of mix headwinds presumably. And I wanted to also just check -- on the year-over-year bridge, if I added back the amortization that you -- the $88 million to 2021, am I correct that your incrementals on the $1.7 billion, $1.8 billion of organic growth at the midpoint is in the 12% range. And if that's right, what are some of the puts-and-takes I should be thinking about to bring that up to the normal high teens to 20% that you normally get?
Kevin Nowlan: Rod, it's Kevin. A couple of things. First, on the growth in the market outlook. Remember, when we're quoting our 6% to 9%, we're also including commercial vehicles. So this is a weighted average of our markets, which is the light vehicle, which is displayed on that slide. but the commercial vehicle as well. And you can see the blend in the backup slides that we provided.  So we know China actually from a commercial vehicle standpoint is going to be a headwind in that market in the high teens. Or when you look at Europe, Europe light vehicle might be growing in the mid-teens, but the commercial vehicle side of that single-digit growth. So when you factor all those growth elements in across light and commercial vehicle, the way we're weighted, it comes out to 6% to 9%. So if you take a look at that backup slide we have in the appendix materials and hopefully, that will help answer that question. On the conversion question you had, I'm sorry, were you asking a '21 versus '20? Or a '22 versus '21 question? I didn’t --
Rod Lache: It's '21 to '22. Just looking at -- I made the adjustment that $88 million on amortization that you pointed out on 2021. And then I'm trying to bridge the various components that you've given that looks like -- the organic growth looks like it's about 1.46 to 2.06 excluding the -- well, I think all in, maybe you can just address that.
Kevin Nowlan: Sure. When you look at the conversion, the way to think about it, if you look at on an all-in basis, we're converting year-over-year in that, call it, 2% to 10%-ish kind of a range, ZIP code. But that includes the $130 million to $160 million of R&D. And so if you back out the increase, that $130 million to $160 million of R&D, we're actually converting year-over-year in the low to mid-teens. Call it, more in that 13% to 15% range. And so what are the puts-and-takes on that? Well, on the negative side, we have commodity cost headwinds because remember, last year, that $65 million net impact that we experienced over the course of the year was predominantly in Q3 and Q4. And so as we come into the new year, we're going to continue to get that impact in the first couple of quarters. That's going to be about $50 million to $60 million in those first couple of quarters. On top of that, we are seeing some additional inflationary pressures coming from the supply base that are part of our guide as well, not as big as what we're seeing on the commodity side, but there is definitely inflationary cost pressure coming through that's factored in. And then those things are being offset by restructuring savings that we're continuing to drive as well as incremental cost synergies on a year-over-year basis. And so those puts-and-takes, commodity costs, supplier inflation, restructuring synergies, those are basically offsetting to get us to that, call it, low to mid-teens conversion year-over-year.
Rod Lache: Okay. And just -- maybe just a follow-up. Can you give us a sense of what the mechanisms are for recovering some of these inflationary pressures, whether it's commodities or what you're seeing from Tier 2 suppliers. It seems like it's a pervasive issue in the industry. Are you able to make adjustments to pricing or things along those lines with your OEM customers for that?
Frederic Lissalde: Yes. It's true that the situation is a bit unusual with commodity and other increases. And so discussions are happening with our customers, and we expect everyone to pay their fair share, to be honest, in this situation. Logistic issues have been also impacted by never-ending customer schedule changes. And so we're talking to our customers and hopefully getting to some resolutions.
Operator: Your next question comes from the line of Noah Kaye with Oppenheimer.
Noah Kaye: I just wanted to go back and check past transcripts to confirm this, but I don't seem to even remember you talking about hydrogen combustion as a potential R&D opportunity development. And this quarter, you come out and actually announced a program award. We've heard a lot of folks in the powertrain space talking about prototyping development of hydrogen. It just seems like to go from kind of a stealth mode to announcing, this is pretty remarkable. So I was wondering if you could take us through on the design cycle and development work for this award? And then I think what do you say about the company's approach to R&D going forward to kind of get this tie into market?
Frederic Lissalde: Yes. Thanks, Noah. So hydrogen can be used in 2 ways, right? First, you inject it into combustion. And second, you use it as a fuel cell, which is a range extender of a battery electric vehicle. Here, this win, a small in nature is hydrogen as a mean of combustion. So you inject hydrogen rather than injecting gasoline.  We've been working with a lot of customers actually on this. This is a pretty appealing technology -- and we've actually had in our tech centers engine fired up with hydrogen as a combustion mean over the past few months. And yes, it's something that can be of interest. And we are focusing especially on commercial vehicle, construction and agricultural opportunities at this point in time. And so one thing I would add, this is not a big part of the R&D increase at all, right? It is the biggest part of the -- 100% part of the R&D increase is linked to BEV, right? And if you compute the numbers, this year we will have 45%, 45% of our total R&D focused in BEV, which is for me, absolutely exciting because I think it really validates the essence of Charging Forward. And I'm very proud about where we are.
Noah Kaye: Great. Let me just follow up on the M&A question I asked earlier here. Are you seeing any kind of a reset on valuations for EV targets? I mean, clearly, some of the public means in the space have gone through a pretty hard reset to start the year. Execution has not been easy. There's been supply chain challenges. So just curious to know what that does to your pipeline and potential for closing something relatively near term?
Kevin Nowlan: Really, I think that ultimately impacts the seller willingness to be able to execute a transaction. When we go into a transaction, we're looking at a discounted cash flow analysis based on the long-term prospects for the business. And obviously, if you have a relatively frothy public market, it influences the way that sellers can think about valuation. So that makes it sometimes more difficult to bridge difference in perspectives on valuation. So as those types of valuations come down in the public markets, that undoubtedly helps in some of the discussions that we have on the buy side. But again, that's a data point. But for us, we're really focused on the long-term value of the business through the intrinsic value, which is built based on our discounted cash flow analysis.
Noah Kaye: Okay. And then, Kevin, sorry, I'll just sneak 1 more in, but just to clarify, the $50 million to $60 million of cost headwinds from commodities you talked about in the first half. Is that a net number year-over-year?
Kevin Nowlan: Yes.
Noah Kaye: Or is that -- okay. That's net of price increases?
Kevin Nowlan: That's net of the recovery mechanisms with our customers. That's correct.
Operator: And your next question comes from the line of Chris McNally with Evercore.
ChrisMcNally: So just 2 questions on the margin. I think you answered my first question in -- during Rod’s. It seems like the core incrementals, if we go pro forma for the accounting change, its about 13% to 15% year-over-year. Is that what you -- I just want to make sure that was the number that was given.
Kevin Nowlan: Excluding R&D, that's exactly right.
Chris McNally: Excluding R&D, perfect. So then the R&D and leverage question. So when we think about the step-up of that $145 million midpoint year-over-year, should I think about that as sort of RD&E, meaning the engineering expense associated with launching these platforms? Or is it more about R&D to work on new platforms? Because then clearly the follow-on question would be, should we expect similar increases in the future? Or is this sort of a new elevated level if it will grow with sales, but not to the extent of $145 million going forward?
Frederic Lissalde: Chris, first of all, R&D, it's more development and application engineering than R&D, right? We're not scratching our heads to figure out what product we're going to develop, right? We have that portfolio. So it is both for launches and high confidence pursuits.
Chris McNally: Perfect. Yes, that's exactly my question. Okay. So it then becomes a more of a onetime step-up. And then obviously, if the business continues to grow, the opportunities are more than the $2.7 billion, and it will -- it could grow. But for now, this is largely a relatively sizable onetime step-up.
Kevin Nowlan: That's correct. And remember, when we talked about this as part of Charging Forward even, we talked about our expectation that R&D would step up to the low to mid-5% range on a go-forward basis. And that stepped up here as part of our 2022 guide. As we, again, have high confidence pursuits as well as the wins that we've generated and that we're working on launching, it's driving that, but it's right in line with our prior expectations of being in that 5% to 5.5% ZIP code on R&D.
Chris McNally: Perfect. And then the only -- the small one on margin. AKASOL, I mean it's obviously about 30 to 40 basis points dilutive to margin now. You've given some revenue outlook. But could you also just help us to when we could think about breakeven on an EBIT basis?
Kevin Nowlan: Yes. If you exclude purchase price amortization, it's still we expect it's going to be a little bit negative this year just based on where we're jumping into it. Again, we haven't had control of that operation yet until effectively last Thursday. Last Thursday, we completed the merger squeeze-out process which allows us to now fully control that operation. And so we're excited to get in there and really run the day-to-day operations of that business going forward and manage it the way we would at BorgWarner, which continuing to drive the types of revenue growth that they're seeing, which probably has more upside than downside from what we've seen as well as driving the types of profitability and cash generation we would expect. But a little bit of a margin headwind this year because it will be a little bit less than breakeven before PPA.
Operator: And your next question comes from the line of Colin Langan with Wells Fargo.
Colin Langan: Just a follow-up on the walk from '21, '22. You mentioned last quarter, there were cost synergies of 40 to 45 and restructuring of 40 to 50. Are those still the right numbers? And that would kind of imply there's another additional $30 million to $35 million of other inflationary pressures that are offsetting those synergies with the commodity costs.
Kevin Nowlan: Yes, good question. Synergies actually ended up coming in stronger towards the end of the year than we anticipated. Some of the things that we were executing on benefited us in Q4. So actually, part of the tailwind we saw in Q4 relative to our guide with synergies coming in stronger. So cumulatively, through the end of 2021, we're at about $140 million which included year-over-year, last year $125 million, which means to now get to our ultimate $175 million of objective, there's only $35 million of synergies left to go. So a little bit lighter remaining in 2022 relative to what we signaled last quarter, only because of the acceleration into 2021. And then on restructuring, you're right, we had guided that $30 million to $35 million is what we signaled last quarter. I'd say we should be at least at that level, if not slightly higher as we come out of 2022.
Colin Langan: Okay. And then going back to earlier questions about growth over market. So it's kind of hard this year, since there's such a product mix tailwind last year. I mean, how are you thinking about it? It looks like your weighted average market outlook sort of implies about 300 basis points of geographic mix tailwinds, but then that seems to also imply that there's another 400, 500 of -- how much is backlog of just pure new business? How much is platform mix being positive? Or is that viewed as a negative as some of these platforms may be normalized? Where are the puts and takes into the organic growth outlook?
Kevin Nowlan: Well, the geographic mix for us isn't a tailwind because what we do is we report on a weighted average market basis. So we're not looking at just global markets. We're looking at our weighted average mix. So the fact that you're seeing higher growth in jurisdictions where we might be more weighted, that's already factored into our assessment of market and embedded in that 6% to 9% guide for blended market. So when you look at us in 2022, what we're effectively guiding toward is our growth above that market, our weighted average market is in that 4% to 5% range this year. And that's jumping off of last year's about 1,000 basis points of outgrowth on a year-over-year basis. So continuing to deliver that mid-single-digit outgrowth as we look ahead. Now for us, our focus is less on outgrowth each year and more about how we execute relative to Charging Forward in 2025. 25% EV mix in 2025, which corresponds to roughly $4.5 billion of EV-related revenue. And that's really how we're measuring success. But underlying that is the expectation that we'll continue that mid-single-digit outgrowth on a go-forward basis.
Colin Langan: Yes. Just a follow-up. I kind of get the 4 to 5 range. The 4 to 5 though, how do you think about it though? Is that all just brand-new business wins? Or are you factoring any tailwinds or headwinds from platform mix? I think other suppliers have indicated that you had such a rich luxury SUV mix last year that some of that unwinds. Is that incorporated in here? Or is it fairly neutral? Any color there?
Kevin Nowlan: It's not really driven by any sort of a mix benefit as we look ahead into 2022. It's really some of the product launches, some of the strength that we have on particular programs that are ramping up still. And so there's nothing unusual from a pure mix perspective about that outgrowth.
Operator: Your next question comes from the line of Brian Johnson with Barclays.
Brian Johnson: I have a couple of questions just around the evolution of the portfolio. With regard to the acquisition in China, you had already won that Hyundai Class -- A Class China iDM business. So what does the acquisition bring you that you hadn't had before? And kind of when you think about the Chinese marketplace, what range of vehicles in terms of price points range would this get you into that perhaps you weren't in before?
Frederic Lissalde: HMC was for the -- as you mentioned, for A-class iDM. With Santroll, we are really bringing a portfolio of motors for whole suite of power level. And so this is -- this acquisition is not linked to that iDM with Hyundai since this was a motor that we were already doing in-house.  So the logic is around -- I sometimes alluded to vertical integration as part of our M&A focus. This is clearly a vertical integration with great manufacturing capabilities. And it really expands the eMotor portfolio at scale from the A class that you can think about with Hyundai to long-haul trucks at scaling different power levels. So that's pretty much the highlights of the logic of that acquisition from a portfolio standpoint.
Brian Johnson: Okay. And kind of second question. I know I’ve asked this before, but you still have a lot of acquisition budget left. In the commercial vehicle market some of the competitors would highlight the advantages of e-axle that is integrating the motor into the axle, your historical application was more of DM1 motor, would be similar data where you have an electric motor and through additional drivetrain. So are you thinking about tuck-in acquisitions around the e-axle space?
Kevin Nowlan: I mean I'll start in general, our components can be utilized. Our e-components can be utilized, whether it's light vehicle or commercial vehicle. And as we think about e-axle, e-axle is definitely an important piece of the market on a go-forward basis in CV, but it's not the entirety of the market either. And so our ability to supply components into that market, whether it's e-motors like we've had success on, whether it's inverters or other things, that opportunity is absolutely there, and we've been generating those wins. And then you can even see what we talked about today with the eFan win as well as the GILLIG announcements on battery packs. So there's definitely opportunity for us in CV, and e-axles aren't an end all be all that drives whether we can be successful in the CV market.
Brian Johnson: Okay. And final question on the disposition of ICE. You did complete 1 deal. However, it is relatively small relative to your goals. What does the pipeline of dispositions look like? And second, to the extent that things have happened faster, is it buyer uncertainty over production environment and not wanting to buy and lever if it's private equity with choppy production? Or is it a general hesitation about taking on even profitable ICE assets in terms of what their terminal value is?
Kevin Nowlan: Yes. I think we're pleased that we were able to accomplish step 1 here, the sale of about $200 million of revenue relative toward that $1 billion goal. So we are pretty pleased with that. I will say that the current end market environment conditions with the volatility we've seen with the $76 million global light vehicle market and with the supply chain uncertainties, has absolutely had an impact on buyers -- broadly buyers' willingness to engage in some of these discussions over the last couple of quarters. But we do have a pipeline that we're pursuing to drive toward that $1 billion of dispositions later this year. I think it's just going to be helpful for us to see a more stable market environment because I think appetite is there when the market is more stable and more certain.
Operator: And your next question comes from the line of Emmanuel Rosner with Deutsche Bank.
Emmanuel Rosner: First question is on the margin outlook and progression -- trajectory for margins, I guess, beyond this year. So as part of your 2022 outlook, you're essentially guiding on a comparable basis for margins taking a small step down despite some meaningful revenue growth in the double digits. And so I'm just wondering from here, how should we think about it in terms of trajectory, what are sort of like more normalized margin? And is there a trade-off between investment in growth and sort of like ability to maintain margins? Or do you feel like once you've had this step-up in R&D, now the percentage of revenue sort of like -- will be fairly stable from here, then you can show better operating leverage going forward?
Kevin Nowlan: Yes. As we look ahead after 2022, our expectation is that we're going to continue to deliver the types of cost performance we've been generating over the last few years, driving restructuring savings that have been coming into the P&L and will continue to come into the P&L. Maybe still a little bit of a tail left on some of the cost synergies from a Delphi perspective.  But at the end of the day, what's really going to drive the margin performance jumping off of 2022 into the next few years is going to be where end markets are, because obviously, we're talking about a guide that's based on -- at the midpoint, about 80 million light vehicles. And so our ability to deliver continued improvement in our margin profile is going to be markets returning to a more normalized level, call it, the high 80s of millions of units or even where IHS is now talking about being in the 90 million next year. Ultimately, our ability to convert on incremental revenue on growing markets is there the same way it's always been, but markets are going to be a big driver of our ability to improve the margin from where we are today. In terms of that question about trade-off in growth versus margin, we're willing to make that trade-off to the extent that the new business wins are there to support investment in R&D. And you can see that in what we're doing in 2022, stepping up our R&D $130 million to $160 million is obviously a pretty meaningful step-up at greater than 20% increase in our R&D. And so we're willing to do that if we see the growth opportunities there because we think it's the right thing to do for the company. So the more growth opportunities to see, the more we're willing to invest in those growth opportunities through R&D. And if that comes at the expense of near-term margin, so be it. But we still see the trajectory of margin growing over the coming years.
Emmanuel Rosner: Understood. And just following up on this last point. So I mean, presumably, the pipeline of available EV opportunity is only going to grow, right? EV is at the beginning of a penetration and eventually, it's going to make its way towards 100% of the industrial or something thereabout. So there's going to be a lot to invest in towards EV. So I guess, when would you want to start seeing it as a margin of a driver – as a margin expansion? Or in other words, how long would you be willing to sort of like take margin compression as an investment into EV growth?
Kevin Nowlan: Well, I think we saw obviously the big step-up this year. We had guided before that we thought we'd be in the 5% to 5.5% range on a go-forward basis, and we were running below 5% the last couple of years. So this is a major step-up that we thought aligned with our longer-term objectives. So we would expect to continue to invest in increasing R&D, but probably in that ZIP code of where we're operating today in that 5% to 5.5%. But what's important to also note is that we're now starting to see the EV revenue coming into the P&L. And we expect to have healthy contribution margins on that. I mean you can see we indicated in our press release today that our EV revenue is north of $800 million in 2022, embedded in our guidance, which is more than double what it was last year.  So we're getting contribution on that incremental revenue, which is now starting help fund that increase in R&D investment. So I'd say less of a headwind as we go forward because we start to operate at a more normalized R&D that's more of our steady-state run rate R&D expense on a go-forward basis as a percent of sales and then getting contribution margin on that revenue as it comes into the P&L.
Emmanuel Rosner: Okay. And then just one quick final one still on this topic. So you very helpfully broke out sort of the EV revenues for 2022 versus 2021. And we get to see how much of the growth comes from here and then also back into how much of the revenue growth still comes from the combustion engine side of the business? When, over the next few years, would you expect sort of like this ratio to sort of flip for essentially more of the EV -- more of the revenue growth would come from EV than from combustion engine? And I remain impressed and positively surprised that you still have so much revenue growth from combustion engine when sort of in fact the industry production seems to be heading in the other direction.
Frederic Lissalde: We're targeting $4.5 billion in 2025. And as part of challenging forward, we're pretty much half and half in 2030, and that's absolutely part of the plan. Kevin, do you want to add anything?
Kevin Nowlan: No, I was going to comment on that. I mean, really, it's the drive toward about $4.5 billion under our Charging Forward plan, which is the 25% EV mix. So as we jump off of 2022, $800 million, growing to $4.5 billion or so in 2025, I mean that's the type of growth you should expect. Part of that coming from acquisitions, but the bulk of that really coming from the -- what's already in our business today.
Frederic Lissalde: And it's true that 2025 might be -- '24, '25 might be a key inflection point. And for us, jumping off that inflection point already having in-house. Right now, as of this call, $3.3 billion of booked business, I'm not talking about other things than booked, with the target of being at 4.5% or above is a great jump-off point.
Operator: And your next question comes from the line of Ryan Brinkman with JPMorgan.
Ryan Brinkman: Congrats on now having fully booked your targeted 2025 electrification revenue. I thought to ask, given the very strong expected top line growth at Santroll, it looks like from de minimis revenue in '21 to 300 million and ‘25. Are you able to say how much of that growth has also been booked versus maybe requires more bookings?
Kevin Nowlan: We're not going to comment on that right now. We'll give you more clarity around the outlook on that when we close on the transaction.
Ryan Brinkman: Okay. And then you got 1 question already on the multiples you might pay for acquired companies and how that could be impacted by the decline in public company multiples. Maybe the flip side of that question, has there been -- I mean, there has been, at least like a relative rotation, right, from growth value in the public markets this year. So with slower growth companies that are generating a healthy margin and cash flow is now similar to those you're looking to dispose benefiting relative to the currently unprofitable high-growth companies whose cash inflows are in the future, like similar to those you're looking to buy.  So might you benefit from both ends because of this rotation? Or what has been the appetite for some of the businesses that you're shopping? Are you -- how are you thinking about the value of some of these businesses now versus, I don't know, maybe like a year from now after the industry has continued to claw back some of the volume from the chip shortage, et cetera?
Kevin Nowlan: We'll see. I think just as you alluded to there at the end of your question, I think it's really going to be dependent on a more stable end market environment. So undoubtedly, the end markets inform buyers and sellers as to how to think about valuation. I'll tell you in this market right now with the choppiness we're seeing and the volatility and only an 80 million unit global end market that we're projecting at the moment, it makes things a little bit more challenged on the disposition side.  But we'll see how things progress from here because I think as market conditions stabilize. And if there's continued rotation toward more value-related investments, maybe that will be a tailwind, but we'll see. Our focus is on executing our strategic plans, controlling what we can control and making sure we get good value for the assets that we dispose of.
Operator: And your next question comes from the line of Luke Junk with Baird.
Luke Junk: Fred, hoping we could start with a big picture question this morning, and it's some project, Charging Forward. Looking back on when you first outlined the company's current strategy about a year ago now. How does where the company stands today compared to your initial expectations on all 3 of the major fronts: organic bookings, which clearly look to be above expectations, M&A and the asset positions. Where are you ahead of expectations? And is there anywhere that you're not? And if not, what's driving that?
Frederic Lissalde: I think we are on track. And personally, I'm fully focused on Charging Forward. And with the broader team, I think we're absolutely on track. We are ahead of organic bookings, and I'm very proud of that. I would say that our decentralized operating model allows me and a few others at the top of the house to really spend a lot of time charging forward. And I'm really excited to up our game on R&D with 45% of R&D on EV next year. I think it really, really validates the essence of using the cash that we generate and reinvesting it in the business with the traction that we have for all the e-products that we now have in our portfolio. I am happy with where we are just a year after or maybe less than a year after the announcement of Charging Forward.
Luke Junk: And then my follow-up question, can you just remind us now that the squeeze out process is completed at AKASOL, what the initial steps are as you're able to take a little more control?
Frederic Lissalde: I think, as Kevin alluded to before, we see some good prospects and the pipeline of growth is strong with that -- investments go with it. And we're not shy about investing for the future of battery pack technologies and battery pack product leadership. We are -- we have literally -- we are in-charge in last Thursday. So we're putting in place the different steps to run the company the way we would like it to be run.  I am very impressed by the talents in this company. The technology leadership that they have and the bookings that they've been able to generate in Europe and in the U.S. will be one of the only one in the world having production facilities for high-volume commercial vehicle battery packs in both sides of the pump. So A lot of work to be done, but very, very excited about running with the AKASOL people and talents.
Operator: We have time for one final question, and that question comes from Dan Levy with Credit Suisse.
Dan Levy: Wanted to go and just revisit some of the assumptions on the combustion set. So if you're saying you're going to grow EV by $400 million this year, that basically implies that sort of the outgrowth related to the ICE pieces maybe a point or so as opposed to, call it, 3, 3.5 points-or-so from EV. So just wondering, that's obviously a clear deceleration versus what we saw in 2021, and I assume 2021 was more driven by ICE outgrowth. So maybe you could just give us a sense of the underlying outgrowth dynamics from your combustion products? And then maybe you could also just talk through the underlying margins? Obviously, do you strip out the elevated R&D and the margin track from your EV products, wondering what those margins for combustion would look like?
Kevin Nowlan: Yes. I mean when you look at that, you're right, a good chunk of outgrowth this year is being driven by the EV and we're excited about that. But we're continuing to see some level of that organic growth coming from the combustion business as well. So the combustion business has actually been holding up well and actually outperforming the market. So not sure what to add to that other than I think we feel pretty good that the combustion portfolio is holding up and the e-business is now really starting to gain traction and coming through in the P&L.
Dan Levy: And are you seeing increased penetration of, say, turbos and GDI? Is that an increased trend?
Kevin Nowlan: We're definitely seeing that as it relates to hybrids. I mean, when you look at the advanced hybrid technologies, those products lend themselves to driving more efficiency and downsizing of the engine. And so we do see adoption rates of products like turbos, VCT, GDI actually increasing in the hybrid world. And so that is a piece of what we expect to be a tailwind for the coming years and why we continue to expect underlying growth in that C-portfolio over the next few years.
Dan Levy: Okay. And then the second question is just on your longer-term planning assumptions. I think when you gave your targets, your 2030 plan was assuming global BEV penetration of 30%. But I think what we've seen is just broadly OEMs, third-party forecasters. These long-term assumptions just keep on skewing higher and higher, and this is occurring in just a very short period of time. So I think some would argue that 30% is now looking conservative. So -- to the extent -- 2030 is a ways out, but to the extent we continue to see easy expectations accelerating, maybe you can unpack what that does to your plans on acquisitions, dispositions or organic growth initiatives.
Frederic Lissalde: Dan, I think you're right, the EV market adoption appears to be accelerating based on public comments and also with conversation with our customers. What's very important for us is our positioning in 2025, and that's really key to our long-term success target of $4.5 billion of BEV product in 2025. We're at $3.3 million and we have time to book more organic business, and we have a healthy pipeline of M&A. So more to come on that. I think the jump-off point of 2025 is really, really important having the right portfolio, the right product leadership, the right customer intimacy and the right base of a significant multibillion-dollar BEV revenue in 2025 is going to be key to our success.
Patrick Nolan: Thank you all for your great questions today. If you have any follow-ups, feel free to reach out to me or my team. With that, Jerome, you can go ahead and conclude the call.
Operator: All right. That does conclude the BorgWarner 2021 Fourth Quarter and Full Year Results Conference Call. You may now disconnect.